Operator: Good morning and welcome to the Wave Life Sciences Fourth Quarter and Full Year 2024 Earnings Conference Call. I'll now turn the call over to Kate Rausch, Vice President of Investor Relations and Corporate Affairs. Please go ahead.
Kate Rausch: Thank you, operator and good morning to everyone on the call. Earlier this morning, we issued a press release outlining our fourth quarter and full year 2024, financial results in recent business highlights, including progress updates for obesity and AAPD clinical trials. Joining me today with prepared remarks are Dr. Paul Bolno, President and Chief Executive Officer, Dr. Erik Ingelsson, Chief Scientific Officer and Kyle Moran, Chief Financial Officer. The press release issued this morning is available on the investor section of our website, www.Wavelifesciences.com. Before we begin, I'd like to remind you that discussions during this conference call will include forward looking statements. These statements are subject to several risks and uncertainties that could cause our actual results to differ materially from those described in these forward looking statements. The factors that could cause actual results to differ are discussed in the press release issue today and in our SEC filing, we undertake no obligation to update or revise any forward looking statement for any reason. I'd now like to turn the call over to Paul.
Paul Bolno : Thanks, Kate, good morning, and thank you all for joining us on today's call. Over the past decade, we have been relentlessly committed to unlocking the broad potential of RNA medicines to transform human health. And 2024 was an incredibly important year for Wave in realizing this vision. We announced positive data supporting our AATD, DMD and HD clinical programs. Derisked an entirely new modality in the clinic with RNA editing and expanded our pipeline with novel, high impact programs that have potential to address millions of patients. We've carried this strong momentum into 2025 with the advancement of WVE-007 our gal neck, siRNA for obesity, to the clinic, and our consistent execution has kept us on track to deliver on key milestones for each program this year, I'll start today by discussing the progress we've made advancing WVE-007 for obesity. I'd first like to acknowledge that today, March 4, is world of obesity day and this year, the community is highlighting ways to take action to reduce the burden of obesity and related chronic illnesses. At Wave, we are engaged with individuals living with obesity as well as clinicians, so we can do our part to combat disease stigma and deliver healthier futures for this community. In these conversations, the opportunity for healthy, sustainable weight loss with our inhibitory silencing approach is resonating, enabled by our best in class, siRNA technology, we believe WVE-007 has the potential to lead the next frontier in obesity treatment for more than 1 billion people living with obesity globally, while GLP ones are rapidly becoming standard of care among weight loss therapeutics, their use is often limited by frequent dosing, loss of muscle mass, poor tolerability and high discontinuation rates. We believe WVE-007 is uniquely positioned to provide a best in class approach that addresses these limitations, it is designed to drive weight reduction through an entirely unique mechanism of action that induces fat burning without impacting muscle mass with doses just once or twice a year. Our preclinical data on 07 have not only demonstrated its potential as front line treatment options, but have shown synergies with GLP ones, including as an add on for individuals requiring greater weight loss who cannot tolerate higher doses of GLP ones. We are also excited about WVE-007 potential as an off ramp to GLP one, enabling long term healthy weight maintenance with just once for twice yearly dosing. This maintenance approach would avoid the weight gain that is common when discontinuing GLP one and the associated metabolic risk avoid cycling. Dosing is ongoing in our in light clinical trial of WV 007, for adults living with obesity and overweight, and I'm pleased to say that we have already completed enrollment in the first cohort. We expect to deliver initial data from the trial in the second half of this year, which will include safety, tolerability and biomarkers reflective of healthy weight loss, turning to alpha one, antitrypsin deficiency and WVE-006 our GalNAc RNA editing oligonucleotide or Amer WVE-006 has the potential to be the first treatment for AETP that addresses the root cause of the disease with a convenient subcutaneously dose therapeutic we do not require IV administered LMPs or complex delivery vehicles like other treatments and developments and our approach vastly. Divers from DNA editing technologies, which rely on hyperactive, exogenously delivered artificial enzymes that can result in irreversible collateral bystander edits and indels. Our restoration clinical program started with healthy volunteers, and we have now completed all planned cohorts of both single and multi-dosing at dose levels higher than those planned for any cohort in the patient study. In our ATD patient study called restoration two, last year, we delivered a breakthrough in RNA medicines with the first ever clinical demonstration of RNA editing in humans with WVE-006 in our 200 milligram cohort, we observed mean 6.9 micromolar circulating Chem AAT and 10.8 micromolar of total AAT two weeks post single dose in the first two patient study, and observed increases in AAT from baseline as early as day three and as late as day 57 an impressive durability of effect 06 was well tolerated, with a favorable safety profile, including the completed restoration one clinical trial of healthy volunteers. Since this announcement, we have seen a surge in enrollment and demand among clinicians and patients to participate in the study. Multi dosing is underway in the 200 milligram cohort, where patients are receiving WVE-006 every other week, and our pre clinical and clinical data support potential for extended dosing intervals and subsequent cohorts. We have also initiated the second single dose cohort at 400 milligrams, and we believe this higher single dose cohort, coupled with the multi dose 200 milligram cohort, will give us meaningful insights into extending the dosing interval. Looking ahead, we will have data from the full first cohort in 2025 including the complete single dose and multi dose portions. We also plan to share data from the 400 milligram single dose cohort this year. These data will further inform the therapeutic potential of WVE-006 and our pipeline of RNA editing programs behind 006 we're advancing a wholly owned discovery pipeline addressing both hepatic and extra hepatic targets. We unveiled three of these programs in our research day last year, which collectively provide the potential to address upwards of 10 million patients. As the year progresses, we plan on sharing new preclinical data from our hepatic and extra hepatic RNA editing programs with the goal of initiating clinical development of additional programs in 2026 in Duchenne, muscular dystrophy, all muscle biopsies have been collected, and we are on track to deliver 48 week data from our forward 53 clinical trial by the end of This month. In the interim readout, last year, we demonstrated WVE and 531 potential to be a best in class therapeutic for up to 10% of the boys living with DMD amenable to exon 53 skipping, we observed highly consistent mean muscle content adjusted dystrophin of 9% evidence of improved muscle health, muscle concentrations that support monthly dosing intervals and distribution to myogenic stem cells, the progenitor cells for new myoblasts that give rise to new myocytes and ultimately aid in skeletal muscle regeneration. Importantly, we also observed a safe and well tolerated profile. DMD is a devastating disease, and there is an urgent need for more effective and safe therapeutic options for patients, we frequently hear from caregivers about the burden of weekly IV dosing and the need for therapies that can distribute to the heart and diaphragm and reach stem cells, which would enhance functional benefit, improve quality of life and ultimately extend survival. The upcoming 48 week data will include dystrophin from muscle biopsies, functional measures as well as safety and tolerability. We are also on track to deliver feedback from regulators by the end of the month. As a reminder, we have previously shared data from our portfolio of additional exons and pending positive updates on n5 31 we plan to advance a pipeline of oligonucleotides that addresses up to 40% of boys living with DMD, supported by our best in class muscle delivery, finally turning to WVE-003, our first in class allele selective oligonucleotide for the treatment of Huntington's disease. HD impacts more than 200,000 people in the US and Europe alone, and there are no disease modifying therapies available. The disease is devastating, sometimes compared to having Alzheimer's, Parkinson's and ALS all at once, and is an autosomal dominant genetic disease that impacts multiple generations of family members. For more than 10 years, we have been committed to the HD community and to using our platform's exquisite specificity and unique chemistry to pioneer allele selective therapeutics by reducing mutant huntingtin at the mRNA and protein level WVE-003, addresses the underlying drivers of neurodegeneration in a. Patients by sparing wild type Huntington protein, which is critical to the health of the central nervous system. WVE-003 is uniquely positioned to address the full spectrum of HD from the early asymptomatic stage through the onset of symptoms and beyond. It is only through our platform's specificity of stereochemical control to best in class chemistry that allele selective silencing became possible to patients. Just last week, I attended the Annual CHDI Conference where our team had the opportunity to share our select HD clinical results and our plan to accelerate development of WVE-003 by using caudate atrophy as a primary endpoint, a known imaging marker that is potentially predictive of clinical outcomes. In addition to our podium and poster presentations, we had dozens of great conversations with HD researchers and advocates, and heard enormous enthusiasm for WVE-003 and our leadership in allele selective silencing as a reminder. Data from our select HD trial showed potent and durable mutant huntingtin reductions of up to 46% and preservation of the wild type Huntington with just three doses of WVE-003. Importantly, there was a statistically significant correlation between allele selective mutant huntingtin reductions and slowing of caudate atrophy, marking the first time such a correlation has been observed in Huntington's disease. Caudate is part of the striatum and one of the primary areas where HD manifests in the brain with atrophy beginning many years before symptom onset and continuing at a steady rate of decline of about two to 4% per year. Correlations have been shown between caudate loss and clinical outcomes, and at the start of the year, we shared some of our own internal analyzes supporting such a correlation. Specifically, we looked at natural history data sets, including track and predict HD, which showed that an absolute reduction of just 1% in the rate of caudate atrophy is associated with a delay of onset and disability by more than seven and a half years. This is a staggering number with meaningful implications for health and economic outcomes, and provides further evidence supporting rate of caudate atrophy as a primary endpoint for an efficient clinical trial. These data, along with the full clinical results from Select HD were both part of our engagement with FCA last year that led to supportive initial feedback. Preparation is ongoing for a global, potentially registrational phase two, three study of WVE-003 in adults with snip three and HD using caudate as a primary endpoint, and we remain on track to submit clinical trial applications, including an IND application for this phase two, three study in the second half of this year. In the interim, we've continued to receive substantial engagement in HD, including from potential strategic partners, and look forward to sharing more details on trial design and our path forward as the year progresses. With that, I'll now turn the call over to Eric to share more detail on activity and provide an update on our emerging pipeline.
Erik Ingelsson: Thank you, Paul, and thank you to everyone joining us on the call today. As some of you may know, I spent the first part of my career as a physician scientist focusing on obesity and autocratic metabolic [ph] diseases. Last as a Professor of Medicine at Stanford, then five years at GSK as head of Human Genetics, genomic science and later target discovery across all therapeutic areas, before joining Wave last spring. For all of these reasons, I'm incredibly excited to talk about our [indiscernible] program, our obesity program with strong support from human genetics. The benefits of such reports should not be underestimated as therapeutic targets supported by human addicts are, on average, associated with a two to four times higher probability of success in drug development when compared to targets without any genetic evidence. INHBE [ph] is a gene predominantly expressed in liver that produced a [indiscernible], which is created from liver and binds CIS receptor app seven in adipose tissue, in light of omnipresence of energy dense food liver in the Bini mRNA is upregulated, resulting in higher circulating active in E levels due to maladaptive response, and this promotes fast storage and an increase of abdominal BC, we chose to target the ligand in the bin E for several reasons. First, using our best in class oligonucleotide chemistry to turn off protein production directly at the upstream source is the most efficient way to down regulate activity of this ligand receptor pair. And second, GalNAc-conjugates allow for a highly specific and efficient targeting deliver cells in a binary silencing leads to lower active and E levels, resulting in higher adipose like policies thereby decreased abdominal obesity, ultimately leading to healthy weight loss and an improved cardiometabolic profile. Several large humanitarian studies have found that carries of heterozygous loss of function variants in the inhibitory gene have favorable metabolic profiles. Including reduced abdominal obesity and visceral fat, serum triglycerides, apo, B, fast and glucose. Hba1c, and decreases in several measures of liver disease, specifically alt, Corona, T1 an MRI, measure of liver inflammation and fibrosis and lower non-alcoholic fatty liver disease activity score. Importantly, these carriers also have reduced risk of type two diabetes and coronary heart disease. So essentially, the outcome study has already been done using nature's experiment, which also supports the therapeutic threshold of 50% silencing of inability mRNA. In addition to genetic studies and our convincing preclinical data, recent internal work has demonstrated a strong correlation of circulating active in E levels with BMI and blood samples from healthy individuals, providing an additional confirmation of the importance of this mechanism in driving obesity in humans. As we've seen over the past several years, there have been incredible efforts to develop new therapies in the obesity space which treats the underlying causes of disease and subsequently drive meaningful outcomes for people living with obesity. It's important to step back and examine the approach for ARIN and beneath Gallic S RNA, within the broader context of current treatments such as GLP one, agonist and other therapies and development, although transformation for obesity medicine, GLP one drugs are associated with many disadvantages, as already mentioned by Paul several of these concerns have been highlighted recently, including in draft guidance from FDA earlier this year on developing therapies for weight reduction, which emphasized the agency's focus on establishing study standards that focus on sustained path loss, as opposed to pound by pound weight loss, which also involves drinking muscle mass. WVE-007, leverages an orthogonal approach from GLP one, focusing on peripheral action directly on fast tissue, rather than a centrally acting appetite regulation. Not only does this mean that we sidestep disadvantages of GLP ones, but it also opens up opportunities to position our therapy in relation to centrally acting drugs as an alternative addition or as an off ramp. Three use cases supported by preclinical data that we presented at our research day last fall, our first in human study of WV 007 is called in light the studies designed to set safety, tolerability, pharmacokinetics, biomarkers for target engagement, body weight and composition and other measures of metabolic health. The single dose portion of the trial in adults living with overweight or obesity is underway, and as Paul shared earlier, the first cohort is already fully enrolled. We're very excited about the progress we've made bringing this unique and transformative approach into the clinic, and look forward to sharing data from the trial in the second half of this year. Now turning to our emerging pipeline of RNA editing programs, we're continuing to advance WVE-006, in the phase one, b2, a restoration two study in patients with a ATD who have the homozygous bi CZ mutation. Our initial proof of mechanism data demonstrated impressive potency, durability of effect with WVE-006 our expected data later this year will assess the ability of 006 to restore healthy mat protein levels with multiple doses as well as at higher dose level. These data will also provide valuable learning to our broader RNA editing pipeline, which we continue to advance towards the clinic. Last year, we shared pre-clinical data on three of our programs leveraging RNA editing, which are wholly owned and build on our learnings from WVE-006 all three programs are strongly supported by human genetics and offer novel ways to treat diseases in areas of high unmet needs. These programs also feature readily accessible biomarkers and approaches to assess pharmacodynamics, along with established regulatory paths, as with WVE-006, they leverage galvanic conjugation for efficient delivery to liver. Our PLM three, three program aims to correct appeal a [indiscernible] variant to revert homozygous carriers to live with liver disease to the heterozygous state, which we expect will dramatically decrease ketosis and fibrosis in I 140 8m driven liver disease. This program includes a large genetically defined population of 9 million people in the US and Europe that are not served by [indiscernible] silencing or by other therapies and development together, our LDLR and APO B programs comprise a comprehensive package designed to substantially lower LDL cholesterol among people with familial hypercholesterolemia or SH both programs apply RNA editing technology aiming to upregulate LLR and to correct the dominant apobec mutation.
to Kyle :
Kyle Moran: Thanks, Eric. Our revenue for fourth quarter in full year 2024 was $83.7 million and $108.3 million respectively, compared to $29.1 million and $113.3 million in the prior year, quarter and year the quarter over quarter increase was proven primarily by the recognition of the remainder of the deferred revenue under our Takeda collaboration. Research and Development expenses were $44.6 million in the fourth quarter of 2024 as compared to $34.1 million in the same period in 2023 research and development expenses for the full year were $159.7 million in 2024 as compared to $130.0 million in 2023 this increase was primarily driven by spending for our new humanity program, along with our AA TV and DMV programs, our GNA expenses were $16.1 million for the fourth quarter of 2024 As compared to $13.7 million in the prior year quarter, and $59 million for the full year of 2024 as compared to $51.3 million in 2023 our net income was $29 million for the fourth quarter of 2024 as compared to a net loss of $16.3 million in the prior year. Quarter. Net loss of the full year is $96.7 million for 2024 as compared to $57.5 million in 2023 we ended the year with $302.1 million in cash and cash equivalents, compared to $200.4 million as of December 31 2023 the increase in cash year over year is primarily due to our financing proceeds and the receipt of milestone payments and research funding from GSK. We expect that our current cash and cash equivalents will be sufficient to fund operations into 2027 it's important to note the potential future milestones and other payments to waive under our GSK collaboration are not included in our cash runway. I now turn the call back over to Paul for closing remarks.
Paul Bolno : Thank you, Kyle. We are off to an incredible start in 2025 and are looking forward to multiple value accretive inflection points ahead, with expected milestones across all four of our clinical programs and data from our growing RNA editing pipeline. With that, I'll turn it over to the operator for Q&A. Operator?
Operator: [Operator Instructions]. First question is coming from the line of Ron Feiner with JPMorgan.
Ron Feiner: This is Ron on for Eric. We were hoping to ask about WVE-006, if you can give us a little bit more information on the level of protein we should expect at baseline. At the readout, I know that at the top line the news that you put out earlier, the baseline was zero. But kind of looking at other clinical trials, such as augmentation therapy, the baseline is flow is three to six for the total and about half that for the functional so just kind of trying to get level set on that. Thanks.
Paul Bolno: Yeah, thank you. I mean, if you remember, the baseline was below the lower limit of detection on the assay. But I think stepping back, as we look forward, we're highly encouraged that at the starting point of a single dose, the lowest single dose is 200 we saw what would be therapeutically relevant levels of not just total ad. So that was the 10.8 of the 11 micromolar. But I think the most important thing for people to follow as we continue to generate our data, as others generate data, is to really be tracking the M-protein levels across studies. That M-protein level is important because that is definitively zero. So ZV patients who are entering these studies don't make any M-AAT protein and so if we continue to track M-AAT protein levels and safe to imagine that over. 60% of the protein we saw at the M-level was, sorry, the total level was M-protein. That's highly indicative of the mechanism of action of editing, so it's the best way to benchmark across programs in terms of the impact of the therapeutics having on editing efficiencies and protein generation. And what should we follow to be consistent? I say that because, well, historically, we've tracked as an industry, total at levels in the field of IV protein replacement, in editing and correction. One of the things that we saw pre clinically was that with time, you see a reduction of aggregates. So if you have alpha one antitrypsin, these protein aggregates breaking up, they also go into serum, and so you can have changes in levels of serum total protein over time that's coming from a variety of sources, those that are directly related to the editing and those related to C protein coming out through the aggregate. So the most consistent way to follow editing efficiency is m protein, because it's zero in the ZV patients.
Ron Feiner: Great. Thanks. And, maybe just one more on 007 when we're doing DEXA scanning, do we expect the pattern of lean muscle mass change, proportional or absolute treating to mirror that of the weight loss. And you know, how often are you going to do DEXA scanning compared to weight measurements?
Paul Bolno: Yeah, so we haven't broken up yet when the DEXA scans are coming in those intervals. But I think to your point, the importance of adding DEXA scan is to really replicate we saw in pre-clinical models, which is that weight loss that we saw definitive weight loss was coming off of fat. So with all fat loss, with no change in muscle mass in the preclinical experiments across multiple systems where we run that single dose combination and on the withdraw study, so we have multiple examples of preserving muscle, sparing with fat, lowering and to your point, using DEXA scanning as part of that study will enable us to use that as one of the biomarkers that we can evaluate in healthy, sustainable weight loss in the clinic in this study.
Ron Feiner: And then maybe one short one, what signal from the DEXA scanning would be indicative of a healthier weight loss versus a pattern with GLP ones. Okay,
Paul Bolno: Yeah, we have not shared that. What we can share is we'll have multiple opportunities to index that DEXA scans across the study to give a dynamic range with which we can show that.
Operator: Now next question coming from the line of Salim Syed with Mizuho Group.
Salim Syed: Great. Good morning, guys. Thanks for the questions, Paul, maybe just a few from us on DMD, since we're getting that read up pretty soon. Here the case confirmed for us. Are the discussions being had with the 48 week data, the discussions with regulators being had with the 48 week data? Or is it just the 24 week and Could you perhaps, just as we get closer here, bookend the scenarios that we should be considering coming out on this readout. And then just two quick clarifications here, just remind us where, how much PMO switchers, if that's even a consideration in this current data set. And then also, just as you're kind of considering, you know, with the current data that you have in hand just your pharmacoeconomic work, how you're preliminary thinking about pricing here. Thank you.
Paul Bolno: Yeah, no. Thank you for the questions. And as you pointed out, this is around the process of this data. So one what's been consistent was that the agency is being engaged around our 24 week data, the data we had shared previously. Obviously, we'll continue to have these data as we move forward, but the data was from the existing data sets that we have, and as I mentioned, we anticipate having that feedback in line with the data from the 48 week study. So that'll we'll be able to give an update both on the regulatory interactions as well as the data from the study as it relates to and sorry, Celine, there were a couple there, so I want to make sure we hit each one of those as we think about the variety of scenarios coming out of this. I mean, I think one of the things that we've seen is the most consistent, highest level of dystrophin that's been seen before the 9% and so if we think about that consistency and that magnitude, I think we're going to learn a lot about what a subsequent six months staying on the same dosing regimen is going to do to dystrophin kinetics. So I think there's the opportunity to understand what happens with stabilization and plateauing of dystrophin, or frankly, increasing in dystrophin. So we're going to be able to. Assess that over the additional six months of dosing. I think the other thing that's going to be important with further dosing is we already saw, the initial study was improvement in muscle repair, right? We saw reductions in CKS. We saw muscle improve, health improvement getting to those regenerative stem cells. So a whole variety of features of improvement in muscle health. And what's going to be important to us as well is we will also be assessing that muscle architecture over the subsequent six months. So again, more opportunities to look at the impact of improvement in muscle health, muscle repair, and then lastly, and importantly, being able to assess clinical measurements. So while not powered for statistically significant clinical outcome measurements, it's still a relatively small study. I think we do expect to observe trends, and so being able to look at 95% stride velocity, being able to look at time to ride and other sensitive markers will give us that opportunity to assess the translation of that improvement in dystrophin to muscle health and muscle integrity, ultimately to the impact on clinical measurements, we have done a number of early discussions, and do see a substantial opportunity in PMO switchers, both in our engagement with clinicians and patients. We also know that a substantial portion of the exon 53 patients are not on therapy, so there's an opportunity not just to switch those who are currently on therapies to a less frequent regimen with potential higher dystrophin and opportunities there without a change in safety, risk benefit profile. So we see that as a very important opportunity on switching but we do know that there's a large opportunity on patients who are not on existing therapies, and at this stage, we haven't yet to comment on our pharmacoeconomic analysis and pricing funds.
Operator: And our next question coming from the line up Joon Lee with Truist Securities
Joon Lee: Congrats on the progress, and thanks for taking our questions. Correct me if I'm wrong, but our understanding is that pending outcome of the meeting PTC is having with the FDA in second quarter, there is a chance that Huntington lowering may be deemed an adequate surrogate endpoint reasonably likely to predict clinical outcome. If that is the case, would you still proceed with the MRI as a primary endpoint? And I have a quick follow up?
Paul Bolno: Yes, and I think it's an important if, but yes, I think if they were to demonstrate data along clinical measurements correlating with mutant huntingtin, and the FDA were willing to accept that data as a clinical surrogate biomarker for Huntington's disease, meaning that mutant huntingtin lowering could be associated as a reasonably likely to predict clinical benefit, and the FDA were to make that an end point, then we're in a position to file up of our earlier data. We have a placebo controlled data with the highest, I say, the most substantial lowering of mutant huntingtin that's been seen to date, at 46% lowering. And on top of mutant huntingtin lowering spares wild type, which we know is an important indicator to clinicians patients, but also to the agency itself. So we would deem that existing data set substantial to file and view the subsequent studies we run as confirmatory and make those changes. So if that changes as a regulatory endpoint. It's beneficial for the field and for us in particular,
Joon Lee: Great and then you mentioned Huntington, prevalence of more than 200,000 in the US and Europe alone, which is higher than the 50 to 60,000 historically cited by other companies. What changed? And you know, what kind of data are you looking at that tells you that the opportunity here might be much bigger than previously thought.
Paul Bolno: I think historically, as numbers get cited in early data sets, they tend to oftentimes reflect the symptomatic HD, so patients who move to the diagnosis clinically on HD. And I think again, one of the main advantages of why we see allele specific silencing is so critical in the disease treatment paradigm for Huntington's disease, is that ability to move into that early setting. And if we think about the work that was done over the last year by the Huntington's research community in restaging Huntington's disease, we used to have a designation between pre manifest and manifest as kind of a bifurcation. What's really been done in that restaging is realizing that Huntington's disease, disease starts well before the onset of symptoms, and that you can have substantial changes in caudate, on measurement, on MRI, before the onset of symptoms occurred where a patient would have historically been diagnosed with Huntington's disease. So as we take that opportunity to say, if you have an allele specific therapy, meaning you can treat earlier in the disease setting, knock out the bad protein well before you get neurodegeneration, and preserve wild type protein so you don't exacerbate the onset of disease. The real opportunity Huntington is to move early, early in the disease setting, to genetic diagnosis. And I think one of the things we'll all learn on. Um in the HD community is as more therapies continue to come forward and genetic testing continues to increase, the propensity and incidence of Huntington's may be well under predicted based on the current diagnostic criteria.
Operator: Now next question coming from the lineup Joe Schwartz with Leerink Partners.
Joe Schwartz: Great. Thanks very much. I was wondering, how should we think about how the effect of WBE 06 could look after multiple doses of 200 milligrams? Can you share any general insights that you have from your pre-clinical, healthy volunteer or modeling work so that we can appreciate how the kinetics might evolve from the strong single dose data you reported last year.
Erik Ingelsson: Yeah. I mean, it's data not only that we have from 06 but with PN chemistry across multiple formats, what we've seen is every time we've gone from single doses to multi doses, we've seen higher intercellular retention of drug, translating to improvements in efficiency. So, as we said, and thank you for acknowledging with the early data from the single dose, we see already a substantial uptick in protein production, and we expect with multiple doses for that not just to be sustained, but actually to be increased. And so the opportunity also exists, and this is important as we think about the future dosing regimens for the study is that we've seen consistently with multi dosing, also extension and durability, meaning drug stays in. So it's not just drug into the cell, it's retention, meaning decreasing drug out and therefore improving that potency and durability quotient. So we're going to learn two things from the 200 milligram moldy doses. One is what continues to happen on the protein dynamics, but importantly, we're also going to see what happens with that durability. It's why this 400 next milligram cohort is important, because imagine we already saw the 200 milligram cohort, which is therapeutically relevant, levels of M-AAT protein. That next window that we'll get on the dose response between two to four will be really important. And that data so that amplitude data, we've said this before, the amplitude data between single doses and what happens with the multi dose will continue to refine our modeling as we think about the prediction of the multi dose frequency in Cohort Two, and then ultimately, what the design of cohort three is that would lead to a potentially registration study.
Joe Schwartz: Okay, thanks. And then for WVE-007, how long will patients be treated? By the time you share data this year? Do you hope to match the total weight loss effect of GLP one therapy at a similar time point, recognizing that these would be cross trial comparisons, of course, or should we focus on the amount of non-lean body mass changes, given this is a different mechanism,
Paul Bolno: Absolutely. So we haven't provided the cutoff point yet. We'll continue to run the study, and we'll provide data from the study. But it's fair to say, as you think about the data from the single dose and thinking about the impressive durability of the opportunity of six month to 12 month durability, that the single dose data is really reflective of what you'd expect to see with long term treatment. Pre clinically, we saw weight loss similar to the GLP ones and semaglutides. So I think the opportunity exists to follow weight I think what's going to be really important, as you brought up, is really to delineate this concept of weight loss in a very broad stroke category of muscle and fat, to really be able to break that down into fat loss. And I think that's what we want to see in the upcoming study, is those changes in body composition, in addition to biomarker data. So I think the totality of that data to distinguish it from GLP one. So not just I think where we are currently is Every medicine is put up against the same because it's very much similar classes. And what's that impact to overarching weight loss at the expense of muscle with the properties that are very similar. I think the full opportunity in this initial data set is really distinguish this unique category of medicines from that GLP, one, where we're not doing essentially chemical starvation, we're driving a metabolic shift in phenotype. And so we believe that these data will be supportive in addressing that thesis and being able to demonstrate the difference of inhibiting as an independent mechanism for healthy, sustainable weight loss.
Operator: And our next question coming from the lineup Roger Song - Jefferies.
Roger Song: Great. Thanks for the question. So a couple questions on us. So the first one is for the ATD. I think Paul, you mentioned you. Are you expecting the. Higher dose on the multi dose and higher dose may be able to increase the M-protein production, correction and then total protein production. So my question is, do we know the coloration between the M-protein level and the total protein level versus the liver and the lung function given so far. We only have the replacement therapy, but we have some other genetic medicine try to increase the level a little bit higher than what you have seen being the set 200 meter web dose. Thank you.
Paul Bolno: Yeah. I mean, it's a wonderful question, going back to just the basis for RNA editing. And if we think about the basis that drove how 11 micromolar, which we all kind of cite, and you know, has been subsequently, there's been discussions around with IV protein replacement, where that level is setting, we have to kind of remember how we got to that level, to your question about what's required for lung and liver protection. And so if we do think about the heterozygous phenotype that 50% level of correction. So the nature of that was about 11 micromolar, if you look at the kind of lower limits of that heterozygous population, that's that was the benchmark for setting that level of total protein, and it was really set off a dynamic range of essentially people who are walking around with one copy of a healthy Alpha One antitrypsin protein in the other within this folded copy, which isn't necessarily an apples to apples, when you imagine, when you're adding on protein on top of that, to set a level with replacement, those patients still have a reserve of me being able to make 50% M-protein in production. But we take this back to what we're doing in the field of editing. The thesis was, really, could we restore that heterozygous population back where we know that by doing that, that we could actually have them rely on the human clinical data that shows that those heterozygous patients have protection of lung function and liver function. What was encouraging, too, when we think about the benefit of RNA editing it by editing in the promoter region, we're really restoring that functional activity back to these patients. So we do need to think about RNA editing as a different category than how we think about protein replacement, because we're really restoring that function back to these patients. So we went back to our clinical data, and if you think about what we've already seen at 11 micromolar of total protein, and over 60% of that being M-protein, we've essentially recapitulated what you'd expect to see in that heterozygous patient. We're encouraged to see what happens over time with repeat dosing, and where the levels of protein can go, also M-protein, but also looking at the durability. But again, it's going to be great to see what happens as we increase that total level of protein, and what that level of correction can continue to be. So I think the key for us still remains that if you follow the translation of turning ZV patients again who have no baseline level of M-protein, and be able to correct them back to a heterozygous phenotype, looking at M-protein will enable us to be able to understand how well we can correct that there's a field in humans, and we're highly encouraged by our initial clinical data.
Roger Song: Thank you. Maybe just a quick one for DMD, understanding you're talking with the FDA, and then for the potential regulatory path. So understanding you try also maybe be able to do some umbrella kind of a registrational trial. Would that be the topic we will get the update quarter, or there will be a coming a bit later? Thank you.
Paul Bolno: No thank you. I mean, as we said, the discussion encompass the data from the or initial interim data from the 24 weeks. But importantly, as we also said, it's about what's next for the program in terms of accelerated registration and confirmatory study design. So we'll be able to provide in totality and update as part of these data sets on next steps for the program.
Operator: And our next question coming from the line of Luca Issi with RBC Capital Markets.
Unidentified Analyst: This is Lisa for Luca. Just wondering, how should we think about dosing for RNA editing versus DNA editing versus [indiscernible]? So it looks like your second dose for a 180 is already at 400 milligrams versus we know [indiscernible] is using an eight times lower dose in their pivotal study with Hae at about 50 milligrams, and Nylon is approved for TTR at a dose 16 times lower, at 25 milligrams. Appreciate that these are totally different mechanisms of action, but how should we think about total drug exposure here for ADAR, is there any. On the safety side with going to such high doses. Thanks so much.
Erik Ingelsson: Yeah. I mean, I think one of the things you have to look at is the 200 milligram is lower than in cholesterol. So I think sometimes you have to think about the calculations of doses of MiGs per gig, and what that is total drug delivered versus the absolute doses we're giving. These as absolute doses, not doses per kilogram for patients. Importantly, we this is the first time anybody has been exploring Adar editing to understand the kinetics of the enzyme. So what we do realize is the opportunity you have when you bring a whole new mechanism and modality forward and are frankly leading that for the field, is a real opportunity to be able to explore the ranges of what's possible. And so ultimately, what's important is dose, but dose to establish an efficacy threshold, but also a durability threshold. I mean, if we could be dosing this monthly, quarterly, less frequently, we're going to understand that. So there are nuances always across different enzymatic systems we understand and as a field. What happens with siRNAs? Although it's important to note, in siRNAs, we're seeing things that are incredibly different than what's been seen with Alnylam before. I mean, we showed a 30 fold improvement in 802 loading Alnylam, which isn't just translating to better potency, it's translating to radically different durability the prospects for highly infrequent dosing, and so that's important to be able to think about the nuances of how this chemistry adds, and not just a potency quotient, but a durability quotient. I think the opportunity we also have for AATD specifically is to really understand the upper bound, I mean, our initial dose let us get to therapeutic levels within a heterozygous patient population, we're going to understand where one could go even beyond that. And so I think that opportunity of really being able to explore dose is important. Think the other thing to note is we've gone higher than all anticipated doses, even above the third cohort in the healthy volunteer study. So from a safety perspective, not just pre-clinical safety, but human clinical safety. We have substantial single and multi-dose human safety data that does let us continue to explore the upper bounds of editing. And I think that's going to be important as we set the paradigm for, you know, what's going to what is good editing going to look like. And so I think ultimately dose is less important in the absence of what it's doing. And I think, you know, we're going to understand a lot between the two and four but also, importantly, what the repeat dosing at 200 does. So I think it's going to be exciting time for the field as we look across modalities and mechanisms and what levels of RNA protein editing and correction are going to be possible.
Operator: Now next question coming from the lineup Catherine Novack with Jones Trading
Catherine Novack: I just wonder, you know, if you can give any more details about the multiple dose cohorts in ATD, you know, how many patients are you anticipating? Granularity as to when, in 2025, we should expect this. And then, you know, in conjunction with that, thoughts on the Maat threshold, you know, understanding that Z-protein is not functional, so we're not really looking at total AAT, do you think you know, consider the 20 micromolar M-AAT to be the threshold for success. Thanks.
Paul Bolno: Yeah. So I think stepping back to each cohort, as we said, is eight patients with repeat dosing. So we've been very clear with what the number of patients are going to be, so that'll be the totality of that data set, and they'll have seven doses. So these patients are going to get a substantial amount of medicine repeated, which is going to let us, in a really nice way, look at that translation from single to multi dose, and we'll have that total data set from the single and the multi with which we can look at the dynamic effects of protein production. To your point, which is interesting is if we remember back to what the established threshold is for the therapeutic activity of a heterozygous patient. So assume 11 micromolar innator, 50% of that is m, and the other part is Z. We're already at 60% edited M-protein looking at that total. So to your point, we're still a measure. So I don't want anybody, wasn't sure or subject to interpretation, we're still going to show total protein as we do the study, so we'll be able to look at that relative ratio between total protein and then, specifically M-protein. The reason we highlight protein is it is critical, because the M-protein is only, again, produced based on the medicine's ability to edit the transcript, and so it gives the most insight into editing efficiency, protein production. And so therefore we know that the MZ phenotype is a stable, safe phenotype, and so therefore what we want to do is continue to push those patients towards higher levels of m. Protein. So we have substantial activity at the 200 milligram. We're going to see what that does in repeat dosing. And you know, it we could reasonably expect to see not just that a higher level of that M-protein, but really looking at how durable and sustainable that is as we think about dosing measurements.
Catherine Novack: Got it. Thanks. And then I had just one more on your thoughts on siRNA obesity targets outside of inhibitory such as GPR75 for example. Is this something you could explore in conjunction with the inhibitory program? Thanks.
Paul Bolno: Yeah. We think about a whole range of potential ways of using both siRNA as well as editing that could target the field of metabolic disease, GPR75 is orthogonal. So you know, as we've mentioned, we do look at orthogonal approaches to treating obesity. And with our siRNA technology, not talking about GPR75 at the moment, but we've shown substantial, durable, potent silencing in the CNS with potential for once a year, even potentially less frequently with administration. So we shared that data as part of the data, demonstrating and distinguishing differentiation between the state of the art chemistries that are for siRNA, and showing again how that's different and how we see better potency and durability with RNA chemistry, not just with gallon neck in the liver, but also in CNS. So we are evaluating a number of targets within the metabolic
Operator: Our next question coming from the line up. Ryan Deschner with Raymond James.
Ryan Deschner: For the 007 program what a late stage clinical study assessing the therapeutic as more of a maintenance therapy actually look like? And what would you anticipate an initial label to look like for this program, regarding positioning as a mono add on, or maintenance therapy, if successful.
Paul Bolno: Thank you. Yeah. So, I mean, we do think a lot about the opportunities, and I say more about the single dose and then the maintenance. So we're going to be generating that data as part of these data sets. So we're going to have a very good sense of behavior of inhibiting as a single agent therapy, and what level of healthy sustainable must see, and being able to drive that forward into a potentially registrational study, I think, the other study that you know we are excited to engage in, which is, as you alluded to, is that off ramp, and so being able to replicate that study that we have run, it is very feasible to look at GL patients on GLP ones that are stable on a GLP one, and then to be able to dose them with Trump. And so the designing of those next studies are being planned. We are thinking about how to conduct those so that they could serve two purposes. Obviously, one, generate really important, meaningful data of how we help products potentially be used in clinic. But two, to also support a label for registration, for reimbursement. So as we think about the total opportunity as both a mono therapy, but very, very important on this off ramp, I think that's going to be a really interesting study to be running real time, where patients who are going to be currently on those therapies now can be withdrawn so and studied in that context in a really substantial way. So we have those plans underway.
Operator: Now last question in queue coming from the line of Madison El-Saadi with B. Riley.
Madison El-Saadi: Hi. Thanks for taking our question what are your plans for the MBA conference? Will you host an event around the conference to provide that regulatory update, and then second on 003 I know you had an updated analysis of CHDI, as you mentioned in your prepared remarks, just wondering if you could kind of remind us or characterize The previously reported NFL data in terms of change from baseline. And then secondly, how do you see 003, profile relative to the exile, one targeted candidates. Thanks.
Paul Bolno: Yeah, wonderful. I'll take the MDA question first. So while our team has a presentation that was already scheduled to be prepared. The data will be coming, will not be presented at MTA coming up, I think timing wise, so I think there won't be a separate event around that. So we do expect to have the full data as well as our regulatory update by the end of the month. We don't time, as we historically have always said, we don't. Of time our data releases around conferences, but rather when the data is ready for presentation. As it relates to the oh three, and I think this was a great conversation at CHDI. We'll take the [indiscernible] one off the table first, because I think there was a lot of discussion. We talked to translational medicine experts about a lot of concerns about the exon one hypothesis. And I think a lot of those concerns stem from the fact that when people went back and did the analysis of healthy brains on MRI, so patients who had autopsy but did not have HD, and those who did both steps to patients have exon one. So it was not specific for Huntington's disease. And in fact, a lot of the model systems. And I think it's always important. And PhD is not unique in this. When you look at translational models to predict activity and what to expect in the clinic, it's always important to do more characterization on the animal mouse models. And so today, there's been a lot of changes that happen in mice models that don't happen in humans. I should also add that a lot of the data that's being presented around exon one, and there was a presentation, I believe, at the Alnylam R&D Day actually use Wave allele specific oligonucleotides that were presented previously. And we had shared data that said that our allele specific oligonucleotides, and this was shared in the CHDI presentation, actually demonstrated a benefit, and that that target happened to also coincide with exon one, was picked up. And I think what ended up becoming is that that became an exon one study, but it was actually, very importantly, an allele specific oligonucleotide study that we had engaged with and work with some of the KOLs in the space we weren't referenced in the presentation, but it is important that a lot of the emerging, supported data on exon one are actually being generated with Wave Life specific oligonucleotides, which, as we would expect, if you reduce butane Huntington protein and preserve wild type, as we've shown, not just in preclinical studies, but ultimately in the clinic, You do see changes in potential benefits. So I highlight that around the Exxon one discussions to date, as it relates to the NFL studies, I think a couple important things you know. One again, in the full retrospective New England Journal analysis of the Tominersen and Generation HD, one study, there was no correlation between NFL and clinical outcomes. So it's just an important reminder we were we did share the follow up from our FDA feedback last year, which we reiterated again that NFL was not the subject of that discussion, so we do follow it. It's important that I think everyone in the field is going to measure it and continue to look for those applications, but again, NFL hasn't correlated with outcome measurements.
Operator: Thank you. I'm showing no further questions. I will now turn the call back over to Dr. Paul Bolno for final remarks.
Paul Bolno: Yeah. Thank you for joining our call this morning, we look forward to connecting with many of you this month, when we expect to share data from 453 [ph]. Have a great day.
Operator: Let's conclude today's conference call. Thank you all for your participation, and you may now disconnect.